Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss MiX Telematics' Financial Results for the Fourth Quarter and Fiscal Year of 2023 ended March 31st, 2023. Joining us today are MiX Telematics President and CEO, Stefan Joselowitz and the company's CFO, Paul Dell. Following their remarks, we will open the call for any questions you may have. I would now like to turn the conference over to Chief Financial Officer, Paul Dell as he reads the company's Safe Harbor statement regarding forward-looking statements. Paul, please go ahead.
Paul Dell: Thank you and good morning, everyone. Before we continue, I'd like to remind all participants that during today's call we will be making forward-looking statements related to our business, which are subject to material risks and uncertainties that could cause our actual results to differ materially. For discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, all of which are available on the Investor Relations section of our website. We will also be referring to certain non-GAAP financial measures. There is a reconciliation schedule detailing these results currently available in our press release, which is located on our website and filed with the SEC. With that, I would like to turn the call over to MiX Telematics' President and CEO, Stefan Joselowitz. Joss?
Stefan Joselowitz: Thank you, Paul, and good morning, everyone. As we close out the fiscal year, I am pleased to report that we continue to deliver strong subscriber growth, expanded adjusted EBITDA margin and another quarter of solid free cash generation. Our total active base surpassed 1 million subscribers. This is an important milestone that we are extremely proud of. Our growing subscriber base which underpins a high quality, globally diversified, recurring revenue stream is the backbone of our business model. Our leadership position in a number of key verticals in the premium fleet segment generates more than 60% of our total revenues, while our subscribers in our asset tracking and light fleet categories strengthen and broaden our overall value proposition. Looking at our revenue composition, we continue to view our subscription revenue, which grew by 14.2% quarter-on-quarter and constitutes 88% of total revenue as the central growth driver for the company. We knew that fiscal 2023 would be a challenging year as we operated in a murky macro landscape, navigated high inflation and an array of supply chain challenges. Despite this, we were able to deliver on expectations that we laid out for ourselves and consistent with previous years, we were laser focused on maintaining a balanced approach to both growth and profitability. We successfully grew our top line by 10% in fiscal 2023 and returned the company to solid free cash generation in the second half of the year. While supply chain and inflationary pressures muted profit margins in the first six months, we saw the combination of ongoing subscription revenue growth and disciplined cost management, resulting adjusted EBITDA margin expansion from 17.1% in the first quarter to 25% in the fourth quarter of the fiscal year. Based on our improving margin profile and return to healthy cash generation, the board has elected to increase our quarterly dividend by 12.5%. We exited the year nearing a Rule of 40 performance after taking into consideration our 25% adjusted EBITDA margin in the fourth quarter and 15% constant currency year-over-year annual recurring revenue growth, which included growth from the FSM acquisition we made in the second quarter of fiscal 2023. Throughout the year, we continued to innovate and further diversify our product portfolio as we recognize the importance of evolving our solutions to deliver ongoing value to our customers. To name a few examples of our innovation efforts over the year we certified and released our Canadian ELD solution, launched a new KPI management module for premium fleet customers, extended our Video Telematics offering, completed technical integrations with multiple OEM telematics services, and further enhanced our data visualization and integration capabilities. We firmly believe that investing in these technology initiatives is critical for our ability to drive organic growth and sustain long lasting relationships with customers. Now I would like to shift our focus to some of our key wins and regional performances during the quarter and fiscal year. Our Africa team continued their trend of outstanding performance throughout the whole financial year, repeatedly breaking previous sales and conversion records and setting the benchmark for other regions to strive for. They delivered many notable new fleet customer wins in quarter four, including JD Group, with over 1400 subscribers incorporating five of our key product lines with MiX Vision AI being key. In Australia, we proved once again that we are in the life saving business when our MiX Vision AI solution provided fatigue event alerts during a trial for a major utilities company. We added three new customer logos, including a New Zealand agriculture business, a highly regarded Australian logistics provider and a leading mining rail services provider. We also secured two key customer contract extensions. We saw strong demand across Latin America, selling more than 4400 new connections in the fourth quarter. We won several new customers in the bus and coach industry and we're encouraged to see a significant passenger transport group which had previously switched to a competitor returned to MiX. Another prominent player in the bus and coach sector, Grupo NSO, also opted to expand its use of our solutions to enhance their fleet safety. Furthermore, one of Brazil's leading mining companies has selected our advanced solutions to optimize its fleet operations, enhance safety and reduce maintenance costs. Over the course of fiscal 2023, we saw a meaningful increase in revenues generated from our sales operation in the Americas region, which was largely attributable to the acquisition of Trimble's Field Service Management business in the second quarter of fiscal 2023. In the fourth quarter, our US team added 500 new MiX Vision AI subscribers to a key customer and continued to expand our footprint with a major fast food corporation. Overall, I am pleased with the continued efforts of our teams and the work they've done to expand our base and welcome new subscribers to the MiX platform. As we look ahead to the start of fiscal year 2024, the macroeconomic environment remains uncertain and we acknowledge the challenges that may arise. However, despite these potential obstacles, we have faith in our operational structure and are confident that we have the people, products, tools and capabilities to achieve our long-term goals. For fiscal 2024, we believe that we are able to deliver mid to high single-digit ARR growth and full year adjusted EBITDA margins north of 25%. We are working towards delivering a consistent Rule of 40 performance in the medium term and are committed to maintaining our balanced approach to both growth and profitability. M&A still remains a key component to our longer term growth objectives, and our team is actively evaluating a range of potential prospects. On our last call, we mentioned that we were planning to have an Investor Day in April. However, due to our year-end reporting and compliance obligations, together with the upcoming conferences we are attending, we have elected to postpone this to a future date. We are looking forward to presenting at the Cowen Conference in New York next week and at the William Blair Conference in Chicago in the first week of June. As I hand over to Paul, I would like to reiterate that despite some headwinds, we believe our highly profitable, cash generative recurring revenue business now boasting a million subscribers globally, puts us in a great position to continue to deliver value to our stakeholders and position ourselves for success in the years ahead. Paul?
Paul Dell: Thanks, Joss. Turning to our financial results for the quarter and fiscal year ended March 31, 2023. Starting with our fourth quarter results, total revenue increased to $36.9 million compared to $36.1 million in the same year ago period. Subscription revenue for the fourth quarter of fiscal 2023 increased to $32.5 million, or 88.2% of total revenue, compared to $31.3 million or 86.6% of total revenue in the same year ago period. The FSM business, which we acquired in the second quarter of fiscal 2023, contributed $2.4 million in subscription revenue during the quarter. On a constant currency basis, fourth quarter subscription revenue increased by 14.2% year-over-over, of which 6.7% is attributable to the FSM acquisition. Most of our revenues are derived from currencies beside the US dollar. The continued strengthening of the US dollar over the last 12 months has provided a headwind to our overall reported revenues for both the quarter and the full fiscal year. The change in foreign currency exchange rates resulted in a 10.2% reduction in our reported subscription revenues during the quarter and a 9.4% reduction for the full fiscal year. For the full fiscal year, on a constant currency basis, we delivered organic subscription revenue growth of 7% in line with our mid to high single-digit guidance range, while total constant currency subscription revenue grew 12% compared to our double-digit guidance provided on the third quarter earnings call. As mentioned, we were pleased to end the year with over 1 million subscribers following nearly 43,000 additions during the fourth quarter. Year-over-year, our total base increased by a net 186,700 subscribers or 22.9%. The growth is largely attributable to strong organic subscriber growth throughout the year, along with the FSM acquisition made in the second quarter of fiscal 2023. The organic subscriber growth was primarily driven by strong performances across our asset tracking and large fleet categories in the Africa segment. Annual recurring revenue or ARR increased to $129 million compared to $127.1 million in the same year ago period. On a constant currency basis, organic ARR increased 15% year-over-year, of which 7% was attributable to FSM. Our gross margin in the fourth quarter of fiscal 2023 was 61.5%, compared to 64.1% in the same year ago period. Our fourth quarter margin was impacted by an increase to our inventory obsolescence reserve and was lower than the full fiscal '23 margin of 62.7%. Our subscription revenue margin was 68.3%, compared to 69.7% in the same year ago period. We have identified a number of initiatives, including platform and carrier cost efficiencies, which we anticipate will result in subscription margin expanding in fiscal 2024. We exited the fiscal year with fourth quarter adjusted EBITDA of $9.2 million compared to $8.2 million in the year ago period. As a percentage of total revenue adjusted EBITDA increased sequentially by 280 basis points to 25%. This increase follows the 520 basis point sequential margin expansion we reported last quarter. We achieved our full year adjusted EBITDA margin guidance by reporting a full year adjusted EBITDA margin above 20%. The accelerated adjusted EBITDA margin expansion in the back half of fiscal 2023 is attributable to continued growth in our higher margin subscription revenues together with ongoing operating cost leverage. Given the current macro environment, our focus is to continue delivering strong EBITDA and cash performance, and we implemented a number of restructuring activities in late March 2023, which will further enhance adjusted EBITDA performance in fiscal 2024. Turning to the balance sheet and our cash performance. During the fourth quarter, we delivered another quarter of positive free cash flows. We gained a $9.2 million in net cash from operating activities and invested $5.7 million in capital expenditures, resulting in positive free cash flow of $3.4 million. We ended the quarter with $29.9 million of cash and cash equivalents with expanding adjusted EBITDA margins and global supply chain pressures easing. We are well positioned to generate strong free cash flows in fiscal 2024. As Joss mentioned, the board proposed and approved an increase in our quarterly dividend from 4 South African cents per ordinary share to 4.5 South African cents per ordinary share. This represents 112.5 South African cents per American depositary share. Before we conclude today's call, I would like to provide some additional perspective on our expectations for fiscal 2024. In terms of subscription revenue, which is the largest and fastest growing component of our total revenues, we are targeting growth in the mid to high single-digits. ARR Growth is also expected to be within this range. This guidance takes into account the current macroeconomic environment where we are seeing elongated sales cycles in the premium fleet space as well as expected churn on subscribers in the FSM business, which will be disconnected as part of the 3G to 4G network upgrade. This discrete churn event is expected to mute Q1 fiscal 2024 ARR growth. In terms of our hardware revenues, these may fluctuate from quarter-to-quarter. However, overall, we do not expect there to be a significant change in the levels reported during the 2023 fiscal year. From a profitability perspective, while we continue to invest in growth initiatives and navigate the current high inflationary environment, we believe that our balanced approach to growth will enable us to drive adjusted EBITDA margins above 25% for the full 2024 fiscal year. Overall, we are pleased with the momentum we've generated as a company especially in our bottom line performance and returning to free cash flow generation. We remain committed to maintaining this momentum and capitalizing on the opportunities that lie ahead. This concludes our prepared remarks and I'll now turn the call back over to the operator for Q&A.
Operator: Thank you.  Our first question is from Matt Pfau with William Blair. Please proceed.
Matthew Pfau: Hey, great. Thanks for taking my questions. First, I wanted to ask on the macro, just perhaps an update in terms of what you're seeing with demand and sales cycles this quarter relative to prior quarters, any improvement or worsening? And then perhaps also if you could call out any differences by geography or segment?
Stefan Joselowitz: Sure. Thank you. And you know what we are seeing, as we mentioned, is a continued elongation of sales cycles. And I'm referring particularly to the larger fleets. So there's no doubt that. And it's a global thing. We are seeing a general I guess concern over macro uncertainty and indefinite kind of slowdown in decision making on big capital or CapEx or even OpEx decisions. So it's not the first time we've seen this kind of cycle and we expect what time it will alleviate. But you know to counterbalance of that is that we've got a strong pipeline of both small, medium and large opportunities and we'll continue to mind that. But we are taking a cautious approach and we have, to an extent, tightened our belt as a consequence.
Matthew Pfau: Got it. And the guidance you gave for both subscription revenue growth and ARR, I might have missed it, but was that constant currency? Or was that reported growth?
Paul Dell: Correct. That's constant currency, Matt.
Matthew Pfau: Okay. Great. And then maybe just an update on the OEM relationships. How are those going? Are there more in the pipeline. Are you seeing any contribution from the ones that you've implemented so far?
Stefan Joselowitz: Thank you. Yes, it's certainly growing. So we've added some new logos during this quarter and expect that trend to continue. So we are building a really solid portfolio of OEM data access, which as I've said before, we view as an investment in the future. So the short-term contribution is not significant. I mean, we are getting some revenues from it. It is certainly shortening sales cycles in certain instances. But nothing that's moving the needle and nothing that we expected to move the needle at this stage of our involvement. We certainly believe that, as I mentioned, this is an investment in the future. And three, four years down the line, we certainly expect the contribution from these relationships to be significantly higher than it is today.
Matthew Pfau: Great. Thank you. Appreciate it.
Stefan Joselowitz: Appreciate you. Thanks again.
Operator:  Our next question comes from Alex Sklar with Raymond James. Please proceed.
Alexander Sklar: Thanks. Hi, Joss and Paul. So two, just for me to start, two questions on the subscriber growth. Joss, you called out the light fleet and asset tracking having been nice tailwinds again this quarter. Can you just talk about why you've seen so much success for these offerings in Africa exiting the year? And as you're thinking about MiX for your FY'24 outlook relative to that 60% premium fleet comment, what's the right way to think about the growth for the next kind of the year? Thanks.
Stefan Joselowitz: Thanks. I appreciate the question. Around the Africa performance, I think, first thing I need to say is the team has done a spectacular job there and instituted a bunch of initiatives, new initiatives over the last 12, 18 months, some of which are paying huge dividends for us. So very pleased with that. I have said before that there is a contracyclical element to some of the geographies in which we operate as it affects our business. So Africa is certainly one of those. Remember, we're showing strong double-digit growth in an economy that's barely growing at 1%. And that does highlight to a degree, the contracyclical element where poor performing economies drive up concerns around security, et cetera, et cetera and the kind of services that we provide, which are safety, efficiency and security services are increasingly in demand in that kind of environment. So it is one of the strengths, I guess, of our business model that we do get this counterbalance. In terms of the, I think, the second part of the question was how we should be thinking about the premium fleet contribution. Paul, do you have a strong view?
Paul Dell: Yes. Sure. So I think in terms of the guidance that we've given, I think we are confident that we're going to see the same momentum on consumer and asset tracking continuing into the next fiscal year. We also have had, as we've discussed, we are seeing longer sales cycles, which we've taken into account in deriving our guidance for next year. And those are mainly related to the premium fleet. So we've taken that into account. And I think the other item that we are seeing quite a lot of demand for globally, both for upsells and from new customers is our AI vision solution, which should be a driver of growth next year again. So that's a little bit more perspective around the revenue growth guidance.
Stefan Joselowitz: Yes, I could certainly add to that, Alex, that our push all the time is for maximum contribution from our premium fleet portfolio, bearing in mind, of course, that's by far the highest ARPU portfolio and gets a lot of our focus in terms of our growth drivers. So our intention is to get the mix higher weighting towards premium fleet, but we do recognize that that's the sector of our business that I think is most vulnerable to global disruption from some of the kind of potential macroeconomic issues that are bubbling away and causing concern at the moment.
Alexander Sklar: Got it. Great color. I guess just a quick follow up to that. Paul, you did mention demand for globally for upsell of AI vision. Can you just give us an update on kind of what the penetration is of your AI vision product across kind of the existing installed base?
Paul Dell: Yes, I think it's around between 10% and 20%. So there's still a lot of runway for us to upsell in the existing base.
Alexander Sklar: Okay. Great. And then just one. Oh, sorry.
Paul Dell: No, sorry. And the base that I'm talking about is obviously on the premium fleet subscriber base.
Alexander Sklar: Yes. Okay. And then I just want to switch gears to profitability. Nice improvement exiting the year. Can you just talk about kind of how scale and efficiency gains contributed to that versus any changes in overall headcount. I know you mentioned towards the end of the quarter, you said there was some March restructuring efforts. Any elaboration on that? Thank you.
Paul Dell: Yes, sure. I think scale and efficiency contributed to all of the gains that we saw in the second half of this fiscal year. The restructuring activity that we did in the last quarter was done in the month of March and so we'll only start seeing the benefit of that from the first quarter of fiscal '24.
Alexander Sklar: Okay. Thank you, both.
Stefan Joselowitz: Appreciate it. Thanks for your time.
Paul Dell: Thank you, Alex.
Operator: At this time, this concludes our question-and-answer session. I would like to turn the call back over to Mr. Joselowitz for closing remarks.
Stefan Joselowitz: Thank you, Sherry. We'd like to thank everyone for listening to today's call and we look forward to speaking with you again when we report our first quarter fiscal 2024 results. Hopefully, we will see some of you in New York next week at the Cowen Conference or the following week in Chicago at the William Blair event. Lastly, I would like to thank the entire MiX team for their tireless efforts and continued contribution to our mission. We are firmly committed to providing value to you, our shareholders and providing best-in-class telematics solutions to our ever-growing global customer base. Thank you, everyone, and have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation.